Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 2015 Fourth Quarter and Full-Year Earnings Conference Call for iHeartMedia Inc. and Clear Channel Outdoor Holdings Inc. [Operator Instructions]. As a reminder this conference is being recorded. I'll now turn the conference over to your host Brian Coleman, Senior Vice President and Treasurer. Please go ahead, sir
Brian Coleman: Good morning and thank you for joining our 2015 fourth-quarter and year-end earnings call. On the call with me today is Rich Bressler, President, Chief Operating Officer and Chief Financial Officer. We'll provide an overview of the fourth-quarter and full-year 2015 financial and operating performances of iHeartMedia Inc. and its subsidiaries, iHeartMedia Capital One LLC, iHeart Communications Inc., Clear Channel Outdoor Holdings Inc. and Clear Channel International BD. For purposes of this call when we describe the financial and operating performance of iHeartMedia Inc., that also describes the performance of its subsidiaries, iHeart Capital One LLC and iHeart Communications Inc. After an introduction and review of the quarter and full year, we'll open up the line for questions. Before we begin I would like to remind everyone that this conference call includes forward-looking statements. These statements include Management's expectations, beliefs and projections about performance and represent Management's current beliefs. There can be no assurance that Management's expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press releases and filings with the SEC. Pacing data will also be mentioned during the call. For those of you not familiar with pacing data it reflects revenues booked at a specific date versus the comparable date in a prior period and may or may not reflect the actual revenue growth rate at the end of period. During today's call we will provide certain performance measures that do not conform to generally accepted accounting principles. We provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and a slide presentation which can be found on the investor section of our website iheartmedia.com and clearchanneloutdoor.com. Please note that our two earnings releases and the slide presentation provide a detailed breakdown of foreign exchange and non-cash compensation expense items as well as segment revenues and OIBDAN. Please note that the information provided on this call speaks only to Management's views as of today, February 25, and may no longer be accurate at the time of the replay. And with that I'll now turn the call over to Rich Bressler.
Rich Bressler: Thank you, Brian. And good morning everybody. First I'd like to take this opportunity to introduce Eileen MacLachlan, our new Vice President of Investor Relations. Eileen's spent 14 years at the Vivendi and Sebrums and is a well-respected and seasoned IR Executive. We are excited to have her join the team. Now returning to the matters at hand, once again as Brian mentioned to you, you can find our presentation slides on our website. Let me just start off by saying that we're very proud of the operating performance of our Businesses in 2015, which is evidence of the progress we're making in the transformation of this Company and that can be seen in our financial results. In 2015 on an FX adjusted basis we delivered four quarters of top-line growth at each of our segments, iHeart Media, Americas Outdoor and International Outdoor, while consolidated OIBDAN was up also for the year. In fact last quarter was Americas Outdoor's highest in revenue and OIBDAN since 2008. Our advertising revenue growth rate continues to outperform the U.S. media industry outside of the big digital players such as Facebook and Google. Driving these solid operating results is our progress in transforming ourselves into a digital-savvy multi-platform and data rich company. We have grown momentum across all of our Businesses against a backdrop of tight operating and financial discipline. And we continue to invest in new technologies that equip us to put our assets to work for advertising in agency partners in new and creative ways. In short the investments we have made in our core strategic initiatives are paying off and that enables us to keep building on the power of sound, the power of outdoor, the power of social, the power social, the power of data, and the power of mobile to create unique marketing solutions for our partners and to redefine the future of media and entertainment for consumers. The lines between digital and broadcast radio continue to blur and advertisers and agencies increasingly view iHeartMedia's radio and outdoor offerings as digital media reaching a 0.25 billion customers. They see us not solely as an advertising media platform, but also as a critical marketing partner to help them reach their key audiences at the right times and in the right places with the right messages. By maximizing all of our media inventory and platforms to benefit our key strategic partners, we continue to bring new money to the sector. Money that is not limited to radio budgets or traditional radio and at home buying, but often comes from print, TV, digital and even general marketing budgets as well. And by offering data-infused and measurable solutions to our advertising clients we are making our diverse portfolio of assets broadcast, out of home, mobile, digital, social and events even more valuable, accessible and effective than ever. A key way to capitalize on this shift is to make our inventory more available by continuing to invest in automating the sales process, better analyzing the unique data we have about our consumers, and providing a programmatic buying solution that integrates easily into their planning and buying systems. To that end, the full strength of iHeartMedia digital properties is now being measured by Triton, the industry leader in digital audio measurement. And agencies can now access these ratings at Mediaocean and Strata, leaders in media buying software. All this helps make digital media planning and buying with us as easy as it is with the leading digital players. There are also a couple of macro trends that are playing to our strengths. Consumers are spending more time out of home, and both our radio and outdoor businesses are skewed to that out of home usage, putting us in a unique position in this new media world. About two thirds of radio usage is consumed out of home, contrasted to almost 70% of what is called mobile usage being consumed in the home and about 80% of smartphone data being consumed over Wi-Fi. Clearly, radio is the most mobile of all media. The other major trend is the much-publicized decline of TV usage as measured by Nielsen. According to Nielsen's Q3 comparable metrics report TVs weekly reach continues to decline, now reaching only 85% of U.S. adult 18-plus and it's particularly losing ground with the key millennial audience. By contrast, radio continues to reach 93% of all U.S. adults 18-plus. Today TVs weekly reach among millennials is only 73%, dropping into third, below broadcast radio at 92% and smartphones at 84%. In other words, today roughly 3 in 10 millennials don't watch television. An incredible statistic. The picture is even bleaker with a younger audience. Only 50% of people aged 18 to 24 watch broadcast TV in prime time. Meanwhile radio remains as stable as ever. And has replaced TV as the number one reach medium. Outdoor also benefits from the decline in TV viewing and remains one of the last mass market reach mediums available to advertisers. More importantly some of our advertisers who have allocated a higher percentage of their ad spend to iHeartMedia have outperformed in their industries. This is further proof of the superior return on investment that iHeartMedia offers advertisers as compared to many other forms of media. iHeartMedia is also beginning to offer unique ways of targeting consumers at scale to enhance the value we can provide to our partners, including music-based psychographic groups, adaptive weather and traffic patterns, purchasing behavior, and other demographic and behavioral data that increase the value of our inventory. Another key area of investment has been expanding our expanding roster of major annual events, such as the iHeartRadio Music Festival, the iHeartRadio Music Awards, iHeart Country Festival, iHeartRadio Fiesta Latina, iHeartRadio Jingle Ball Tour, iHeartRadio Summer Pool Party and last Saturday's new iHeart 80s Party. These events have been hugely successful packing venues, drawing large audiences to radio, online, and TV broadcasts, and generating tens of billions of social media impressions, often more than the big game halftime show and the Academy Awards. The impact rose year-to-year. For example the iHeartRadio Music Awards have already surpassed last year's total of 14 billion social impressions delivering nearly 20 billion social impressions so far, over a month before the show. This is more evidence of what a major social player we have turned into. More importantly these events are an embedded part of our sales strategy, strengthening our relationship with advertisers, agencies and consumers while providing experiential marketing, promotion and brand building opportunities. But there's something more going on here. Increasingly these events are part of a much bigger marketing campaigns involving all aspects of our business. We're continuing to build beyond our traditional media sales and newer programmatic buying capabilities to partner with agencies and clients on breakthrough marketing initiatives, enriched by data learnings and research insights to reach consumers everywhere, on-air, in-app, in-social and in-venue, with unique creative at-scale solutions. These events are a unique asset of our Company. Given the unparalleled national reach of our Company and the lead that we have in our combined broadcast and digital radio listening, no other company can create events like this and deliver this kind of impact. To help us make some of these marketing initiatives even more special, we have partnered with Universal Music Group to bring virtual-reality performances to U.S. audiences for the first time at-scale. Next month's iHeartRadio Music Awards will be the first of the partnership's revolutionary fully immersive entertainment experiences. With advertisers seeking to tie their brands and products to music, artists and consumers in innovative ways, we can now offer them a completely new tool: one-of-a-kind entertainment events using state-of-the-art virtual-reality technology to scale the experience to more consumers everywhere. And we continue to invest in iHeartRadio. As you know last month iHeartRadio surpassed 80 million registered users, reaching that number faster than any other digital music service and even faster than Facebook. Total listening hours and mobile listening hours both continue to climb and we continue to make iHeartRadio available anywhere listeners want to hear it, now on more than 80 unique device platforms. As you all know, in December the copyright royalty board, or CRB, came out with new rates that digital music services like iHeart will pay for the next five years, reducing our per-play rate by 32%. These new CRB rates make our investments in iHeartRadio even more significant. We believe these new rates will encourage the growth of digital streaming and help build a more sustainable digital music marketplace for the benefit of artists, consumers and the rest of the music industry. Broadcast radio is still our core, but both consumers and advertisers are coming to regard broadcast and digital radio as the same thing. That's why we expect iHeartRadio to become an increasingly important platform for our marketing initiatives. At Outdoor where we reach millions of people through our global footprint, we were seeing advertisers and agencies increasingly recognize the value of our dynamic adaptive out of home platform and why it needs to be core to their overall marketing strategies locally, nationally and internationally. We're encouraged by three key trends in the Outdoor space: first, we have moved from advertisers buying boards to buying audiences, enabled by the rating services we have developed. Second, the increase in our inventory and value to advertisers grew conversion to digital. Our domestic digital inventory now reaches 80% of the population aged 18-plus in our markets. And finally, advertisers in general continue to spend more in the overall Outdoor sector as well. That's why we continue to invest in converting to digital and developing the programmatic and data capabilities that clients want. Through these efforts, we can leverage what we've learned from the radio side to benefit Outdoor and deliver many of the benefits of digital while continuing to deliver the strength of the Outdoor product. Like radio Outdoor remains under-monetized in terms of total advertising share in our CPM basis. That means real upside for both the industries and our company. To help speed this transition Outdoor, we've made great progress in aligning our Americas and International portfolios to our most attractive strategic opportunities over the past year. At Americas Outdoor our team delivered strong quarter with growth across the board, including strong performance for both local and national campaigns as well as higher revenues from our digital signs and static bulletins. We continue to see great momentum in our national business under our new sales leadership team led by Bob McEwen. In fact our Americas Outdoor business has grown OIBDAN in every quarter of 2015. There's still work ahead of us to expand the share of advertising spend that goes to Outdoor, but our team has moved quickly to identify and execute on opportunities to drive results. At International Outdoor, this is the seventh consecutive quarter that our international team grew to topline on an FX adjusted basis, and they achieve this success despite headwinds in parts of Europe and Asia. Overall we are pleased with the year's strong results thanks to these and other investments in our Businesses. They strengthen our progress in our transformation to a leading 21st century multi-platform media and entertainment company. And with the introduction of new technologies and ways to utilize data we are spotlighting the core value of our assets and their ability to deliver for advertising partners while growing value for our shareholders. Going forward we plan to continue to pursue these strategies that have so far brought us these great successes and which we believe have helped position iHeartMedia for long-term growth across each of our operating segments. Now let's turn to Slide 4 and review our key financial highlights. As we've done in the past when discussing our financial results on this call, I'll refer to all results excluding the impact of FX, as the strength of the dollar against the other major currencies in which we transact continues to affect the comparability of our numbers on a reported basis. You can find our reported numbers in our earnings releases and SEC filings. In addition as we noted in our press release, our OIBDAN calculation excludes the incremental lease expense from the sale leaseback transactions related to our tower portfolio and San Antonio office buildings and the amortization of differed system implementation costs. We made exciting progress in 2015. Despite global economic headwinds and 2015 being a nonpolitical year, we grew both consolidated revenue and consolidated OIBDAN. This growth demonstrates the power of our innovation, the success of our products, and the dedication of our people as we meet and exceed the expectation of our advertisers and consumers. Starting with the fourth quarter, in spite of this being a nonpolitical year, consolidated revenues were up 3% year-over-year. At iHeartMedia revenues rose 5% year-over-year and 8% excluding political advertising revenues. We also grew both of our Outdoor Businesses with revenues up 2% at Americas Outdoor and 3% at International Outdoor. Consolidated OIBDAN for the quarter increased 1%. For the full-year consolidated revenues rose 2%. At iHeartMedia revenues increased 4% year-over-year and 5% excluding political. Our Outdoor Businesses grew as well with revenues up 2% at Americas Outdoor and 3% at International Outdoor. Consolidated OIBDAN increased 1%. I will give you additional detail on these results as we discuss each segment's financial performance later in the call. Now let's review our key nonfinancial highlights. Starting with Slide 5 at iHeartMedia, as I mentioned earlier we surpassed 80 million iHeart registered users last month, up 33% year-over-year. Total listening hours also continued to grow in the fourth quarter, increasing 30% year-over-year while downloads and upgrades climbed to more than 850 million. Mobile listening continued heading higher, representing 66% of iHeartRadio's total listening hours during the fourth quarter. And its social media footprint also keeps expanding, reaching over 80 million users across its network. For the third year in a row iHeartRadio was named hottest music app of 2015 by Adweek's readership of advertising, marketing and brand executives, making our continued success in delivering everything our listeners want, when and where and how they want it. We appointed four senior iHeartMedia executives, Hartley Adkins, Greg Ashlock, Matt Martin and Tom McConnell as division presidents leading the iHeartMedia markets group overseeing 36 newly formed regions. At the 2016 Consumer Electronic Show we announced the integration of iHeartRadio into seven new devices across home entertainment, home connectivity, and wearable technology. These new partners include Samsung, Apple TV, Firefox OX for Panasonic TVs, and DTS. In another first, the iHeartRadio brand is headed to Canada through a digital platforms, live events and more this year under an exclusive partnership with Bell Media, Canada's leading media company and biggest radio broadcaster. We finished last year's successful roster of events strong with the second annual iHeartRadio Fiesta Latina presented by Sprint, which aired exclusively on Telemundo and streamed by Yahoo live, and the annual iHeartRadio Jingle Ball 2015 tour presented by Capital One, which generated a record-setting 11 billion social media impressions over its 11-city swing, surpassing the big game halftime show and the Academy Awards. Moving to Outdoor on Slide 6, we continue to grow our digital presence with 1,263 digital billboards in North America and more than 6,600 digital displays internationally at the end of 2015. During the quarter we expanded our industry leadership in data with our Americas Business becoming the first ever partner of AT&T Data Patterns' out of home media. By providing our clients with the size of a billboard's audience and aggregate anonymous demographic data, they can help their campaigns with the same kind of precision available in digital and television. At International Outdoor digital stayed at the top of the agenda. We acquired Arqiva payphone business in the UK and plan to reshape urban spaces in London and beyond by replacing existing telephone boxes with state-of-the-art kiosks to better serve advertisers and consumers. Also in the UK our contract renewal with Sainsbury's stores will include upgrading 250 screens to digital across the stores' nationwide estate. Powered by Clear Channel's intelligent content management system, Play IQ, the screens will offer advertisers live availabilities and campaign reporting. In addition we secured the 15 year above shelf advertising contract for the London Borough of Tower Hamlets. That includes upgrading and replacing shelters across the borough and installing digital screens with built-in mobility interactivity. And finally in Brussels we launched the largest interactive digital out of home billboard in Belgium, Iconic, a 460-foot screen in the city center. Now let's review our segment financial results. Starting with iHeartMedia on Slide 7, fourth-quarter revenues were up 5% even against the backdrop of last year's tough political comps. Excluding political, our revenues were up, increased 8%. Driving this revenue growth with strength across our iHeartMedia Businesses. Specifically, key drivers included increases in local and national core broadcast and digital radio revenues, higher sponsorship revenues from our iHeartRadio Jingle Ball tour, growth in our networks Businesses, and higher barter and trade. As we've said before lines continue to blur between local, regional national spending across all disciplines, including broadcast, digital and events sponsorships, and we believe we're well-positioned to benefit from this trend with a broad range of advertising solutions and reads that cannot be matched. In addition we have once again substantially outpace the radio market as measured by Miller Kaplan. We believe this is result of the additional dollars that we are bringing to the sector beyond dollars originally designated for radio. This is the financial benefit of our success in becoming a multi-platform company. Our top talent, one-of-a-kind event sponsorship opportunities, digital and social capabilities and unparalleled reach are resonating with marketers. The advertising categories with the strongest year-over-year growth include automotive, financial services, entertainment, as well as food and beverage. Moving on to expenses, as I've mentioned in the past we continue to strategically invest in our national sales channel and digital platform to grow our business. Our operating expenses were up 5% in the fourth quarter driven primarily by higher sales compensation expense, including commissions related to higher revenues as well as higher barter and trade expenses. From a content cost perspective, music license fees and royalty payments have increased with the growth in digital listening hours on our iHeartRadio digital platform. On a reported basis fourth quarter OIBDAN was up 5%. Tight expense management and financial discipline as well as continuing to generate a high-yield off our strategic investments remain key priorities for us. For full-year 2015 iHeartMedia revenues increased 4% compared to the prior-year. Excluding political, revenues were up 5%. We grew both national local core broadcast and digital revenues in 2015 and again outperformed the radio market as measured by Miller Kaplan. The marketing partnerships we have provided for national advertisers with our live events such as the iHeartRadio Music Festival, the iHeartRadio Music Awards and the iHeartRadio Jingle Ball tour, helped to drive revenue growth across our markets. The consumer engagement around these events are key to attracting advertisers looking for the best ways to reach their target audiences. Trade and barter revenues increased as well, particularly with national advertisers. Our Networks Business also grew in 2015 with traffic and weather up to the local sales initiatives. In addition our premier syndication business had improved performance in the news talk format compared to the prior-year period. Moving to full-year 2015 expenses. Expenses were up 4% for the year driven primarily by investments in local and national programming talent as well as national sales capabilities. Trade and barter expenses have increased with the growth in related revenues, as have variable sales compensation expenses including commissions. And our music licensees and royalty payments are up year-over-year due mainly to the rise in digital listening hours on iHeartRadio. As result of our revenue growth, iHeartMedia OIBDAN increased 4% for the full year compared to 2014. The investments we have made in strategic revenue and efficiency initiatives continue to help us grow the top line efficient rate, enabling us to also grow OIBDAN. Now let's review our first quarter pacings. As I said a number of times, these pacings are just a snapshot in time. Our first-quarter pacings for iHeartMedia through the end of last week are up 4.6%. This includes political revenues of $6 million in Q1 of 2016 compared to $1 million in Q1 of 2015. Turning to Americas Outdoor on Slide 8 our fourth-quarter revenues were up 2%. Our new sales management team continues to make meaningful progress, in particular with driving increased performance from our national sales channel. Fourth-quarter revenue growth was driven by increased revenues from our digital billboards due to new deployments or higher occupancy as well as growth in our static bulletins. This growth was partially offset by lower revenues resulting from the loss of certain airport contracts in the United States and Canada. Our top categories in the quarter include retail, business and financial services, media and healthcare. Operating expenses were up 2% for the quarter driven primarily by higher variable expenses related to higher revenues. And OIBDAN also increased 2%. For full-year 2015 Americas Outdoor revenues were up 2%. Driving revenue growth in new digital billboards placed in service throughout the year and revenues from our Spectracolor signs in Times Square. Partially offsetting this growth were lower sales from our static posters and bulletins, as well as the exit from certain airport and mall contracts. Operating expenses increased 1% resulting primarily from greater variable site lease expenses along with higher revenues. Revenue growth, as well as continued discipline around expenses, contributed to a 2% increase in OIBDAN compared to the prior-year. As for our first-quarter pacings, which again reflect as one point in time, they are up 1.4%. Turning to Slide 9 you'll see that once again International Outdoor revenues increased for the fourth quarter and for the full year compared to 2014. Despite relatively weak economic conditions in Europe and Asia, revenues increased 3% in the quarter driven primarily by growth in the UK, Sweden and Australia due to digital street furniture and transit revenues. Expenses rose $26 million or 8% in the fourth quarter. This increase includes a $14 million charge to correct a circle of counting errors including the results of our Navelent subsidiary, $11 million of which relates to 2014 and before. Operating expenses increased primarily due to higher variable site lease expenses related to higher revenues. These increases are partially offset by lower expenses being incurred in the various efficiency initiatives we've undertaken in the past. As a result fourth quarter OIBDAN declined 11%. Full year 2015 revenues increased 3% compared to the prior year's, reflecting growth across several European countries as well as Australia and China. In Europe revenue increases were led by Sweden, Norway, Italy and the UK across multiple display types including digital and street furniture. New digital assets and sale initiatives in Australia as well as new inventory in various cities in China were the main growth drivers in the Asia Pacific region. Full-year 2015 operating expenses rose 5%, due primarily to higher variable site lease expenses and sales compensation expenses including commissions resulting from higher revenue. As I indicated last quarter we incurred about $6 million in site lease termination fees to exit certain low margin contracts, primarily in the UK. In addition the increase includes the Netherlands adjustment referenced earlier. International Outdoor OIBDAN was down 5% for the full year. Our Q1 2016 pacings for International Outdoor are down 2% with strength in France and Eastern Europe offset by weakness in Asia due to reduction in advertising rates and the timing of the Chinese New Year. Once again pacings are a point in time in metric and as you'd expect there's inherent level of volatility week to week. Slide 10 shows some of the items that affected year-over-year comparability. Although I've been speaking to the results excluding the impact of movement a foreign exchange, I want to point out that the impact of such foreign exchange rate movement has a significant effect on our reported revenues and expenses. On a consolidated basis we incurred approximately $9 million and $43 million of cost related to strategic revenue and efficiency initiatives during our fourth-quarter and full-year, respectively. This is about $12 million less than compared to Q4 2014 and about $28 million less than the full year 2014. Most of this decrease is reflected in the corporate expense lines above. However, iHeartMedia also spent less on such initiatives compared to the prior-year, both on Q4 and a full-year basis. These costs increased at International Outdoor due to the site lease termination fees I mentioned earlier. On the iHeartMedia side, as I told you before 2015 was not a congressional election year which has a meaningful impact and effect on our revenues. This also has a significant impact on our caps business. At the consolidated level the decrease in political advertising revenue was $34 million for the fourth quarter and $58 million for 2015. Turning to Slide 11 capital expenditures for the quarter were approximately $104 million bringing us to a full-year 2015 total of $297 million, below the bottom end of the range we had estimated of $300 million to $350 million. We estimate that our 2016 capital expenditures will be in the same range of $300 million to $350 million. This compares to $318 million in 2014 with lower capital expenditure spending at American Outdoors and Corporate, partially offset by higher capital expenditures for our new contract at International Outdoor and incremental capital expenditures spend at iHeartMedia related to investments in technology and real estate. Moving on to debt, capital structure and liquidity starting on Slide 12. As of December 31, 2015 iHeartMedia Inc. debt net-of-cash was approximately $20 billion. In the first quarter of 2015 iHeart Communications issued $950 million in 10.625% priority guarantee notes due 2023 and we issued the proceeds to prepay our term loans that would have otherwise been due in 2016. During 2015 we borrowed $230 million under our receivables-based credit facility. In December, Clear Channel International DB, a European subsidiary of CCOH, issued $225 million of 8 3/4 senior notes, due 2020. The proceeds of the CCI DB notes we used to fund the dividend that the CCOH board declared on December 20, 2015 and which was paid on January 7, 2016. iHeartMedia subsidiaries received approximately $196 million of the dividend and the remainder was paid to the public stockholders of CCOH. For full-year 2015, CCI DB's GAAP revenues declined $159 million or 12% including a $206 million decrease as a result of the movement in foreign exchange rates. Operating income decreased $1 million or 5% including a $3 million decrease due to foreign exchange movements. Our debt balance at the end of the year was $20.9 billion, and our consolidated weighted average cost of debt for 2015 was 8.5% compared to 8.1% for 2014. iHeartMedia ended the year with approximately $773 million in cash. Because our operating business is strong we can manage our capital structure in a prudent way. We believe we have very manageable maturities over the next couple of years. We continue to evaluate opportunities to strengthen our balance sheet and generate liquidity in a measured manner that makes sense for our business as we focus on positioning iHeartMedia for long-term growth. An example of such opportunities is the sale of nine non-strategic Americas Outdoor markets to various buyers in the first quarter of 2016 for an aggregate purchase price of $602 million in cash plus some billboards in Florida. These markets were non-critical to our national networks, so as we did with our broadcast tower portfolio we hope to generate liquidity without significantly affecting our business. These markets contributed approximately $105 million in revenue and approximately $48 million in OIBDAN in 2015. Now we turn to our balance sheet information and the debt ratios on Slide 13. iHeartMedia's cash totaled approximately $773 million at December 31, 2015 and our secured leverage ratio was 6.5 times. Cash interest payments were $323 million in the fourth quarter and approximately $1.7 billion for 2015. This compares to $327 million and $1.5 billion for the fourth quarter and full year 2014, respectively. During 2015 we have $77 million in cash for operations including the cash interest payments I just mentioned. Cash provided by investing activities was approximately $30 million, as the proceeds from the sale of our tower portfolio and the sale of our San Antonio office buildings, which I discussed earlier in the year, more than offset the $297 million we invested in capital expenditures. Finance activities provided approximately $377 million in cash due primarily to the issuance of the CCI DB debt and the draw-down on our receivables-based credit facility which I covered earlier. Clear Channel Outdoor ended the year with approximately $413 million in cash. The CCOH senior leverage ratio was 3.8 times and it’s consolidated leverage ratio of 7.2 times. The CCOH board made a demand for a $300 million repayment on the note receivable from iHeart Communications and declared a special dividend of $540 million which was paid on February 4, 2016. After netting the $300 million repayment on the note, iHeartMedia Inc. subsidiaries received approximately $187 million, and approximately $53 million was paid to the public stockholders of CCOH. So before we go to questions, I want to thank you again for joining us this morning. As I said at the start of the call, we are pleased that our investments in the company are paying off and helping to drive our solid operating performance. We have a unique portfolio of talent, assets, engage audiences and capabilities that are becoming more powerful every day and even more integral in consumers' daily lives. And this continues to be instrumental to how key advertisers, agencies and brands see us as a true marketing partner focused on helping them build their relationships with the millions of consumers who we reached through our array of media platforms. Thank you, and now let's open up the line for questions.
Operator: Thank you. [Operator Instructions] And for our first question we’ll go to Jason Kim with Goldman Sachs. Go ahead please.
Jason Kim: Good morning, guys, thanks for taking my questions. The first couple of operational questions for Rich. What's your outlook for political revenue this year? How does it compare to the past election cycles from where you see things today? And the radio margins were better this quarter -- and I know you don't give formal guidance, but I'd be curious to hear what the major puts and takes for your margin profile should be in the upcoming year in terms of new investments you may make or getting the benefits of your past initiatives?
Rich Bressler: Great, thanks, Jason. Good morning, everybody. On political revenue for 2016, a couple of different things. First we don't -- no surprise we don't provide specific guidance on revenue. We are extremely confident in our political sales team down in DC. We hired Kenny Day a number of months ago, I think we mentioned that to you all you guys. He and the rest of the team are just doing an outstanding job. Just on a number's basis, just to give you some sense of comparison, in 2012, which was a presidential year, we had approximately $105 million of consolidated political revenue. In 2014, which was a congressional year, we had about $87 million of political revenue. Obviously, we all love the races that are going on -- and whether it's Trump or Cruz or Rubio or Sanders or Clinton, that bodes well for all of us. Additionally, as we go into this year, the power of everything we have with data targeting, we're able to identify -- and this is, as we continue to invest in the business, we now have the ability to target everybody, to identify exact voters. So we now have the power data targeting. We've now got -- as always, we have the power frequency. We can make the most important issues for the candidates’ top-in-line for the voters. In addition to that, as always, we've got the power of live, just as we've got our broadcast stations. And we've got 20,000 events a year, and we've got our morning shows. And we've got our top DO updates. We have strength of traffic and weather, which you saw come through in the numbers also. Again, particularly with the enhanced capabilities we have, the races that are going on and the management team led by Kenny and his team, we feel very, very good about this year going into political. And in the first quarter, as I went through the script, you see we saw the benefit from that already.
Jason Kim: Okay. Then maybe some questions for Brian. Obviously, a lot of chatter and news flow around your balance sheets. You've really strengthened your liquidity position in the fourth quarter, and even much more in the first quarter with asset sales at Outdoor. Liquidity is not an issue anymore, from what we can tell, which was the focus of the call last quarter. So I would love to get your view about the approach to a various issuance in your capital structure now with all of the liquidity raises you've had in the past couple of months. What is your focus and priority as related to your balance sheet for the balance of the year?
Brian Coleman: Jason, great question. I don't know that it's changed a lot. Obviously, liquidity continues to be important, and we have executed under certain levers between our last conference call and today. So we feel pretty good about that. We felt good in Q3 because we knew the levers existed. We feel good today because we've executed upon those levers. But I think what we've talked in the past -- what we've talked about in the past hasn't really changed. We want to be opportunistic. We think the markets are somewhat dislocated and there are opportunities across our capital structure. We want to be thoughtful about it. In the past when we've had similar situations, we used excess liquidity to repurchase securities kind of on a one-off basis privately or bilaterally. We'll continue to think about it and perhaps there are bigger opportunities or perhaps we'll go back to what we've done in the past. It's hard to say specifically what we're thinking about. Nothing's been determined. We have open dialogue with our advisors, with our investors. And we'll continue to pursue what we think is the most opportunistic and beneficial path for the Company.
Rich Bressler: Yes, and let me just add one thing on that. Look, the most important thing we have, we've got a very, very strong operating business. You see it manifest itself in the numbers. If you go back a couple year period of time, when I started speaking on these calls and when Bob and I came in and the rest of the management team, you saw that we gave a bunch of operating statistics so you could measure our progress. Then, we talked about it manifesting itself into the results. You now see it -- you're starting to see it in the financial results with on the iHeart side, particularly this quarter, with the 5% overall revenue growth and 8% of ex-political. That really is -- we continue to focus on that. And at the same time, there are things like we had in the fourth quarter, the non-strategic asset sales. Like we were able to sell some domestic U.S. assets, non-strategic. I think if you read all our filings, it's about an implied multiple of 12 1/2. Good deal for the purchaser; good deal for all of us, starting with our shareholders. Again that's our job, and you'll see -- and if you go back over time, we are always looking at our cost to capital and always looking into our balance sheet more effectively. We'll continue to do when we do deals that are good for our shareholders.
Jason Kim: Fair enough. Thank you.
Operator: Thank you, our next question will come from Avi Steiner with JPMorgan, please go ahead.
Avi Steiner: Thanks. I want to start a couple of business questions first and then go back to the balance sheet. Just on the business side, I know you've won some contracts and lost some contracts. I'm wondering if you can talk specifically about the larger one you lost in London. I think it turned over at the start of year. Just how we think about the impact from that? And if you don't want to be specific about that, -- I know you don't give guidance, but is the Q1 pacing rate reflective of that contract loss and that's how we think about the impact?
Rich Bressler: So a couple of things. Avi, thanks for the question. First of all on pacings, let me just give you a quick update, just very, very real time. We're actually -- as of today, we're actually up slightly on Q1 pacing. So actually just slightly positive at 0.1%. Again, back to my -- this is a real-time example of when I say on every call, pacings are really nothing more than a given -- at any given point in time. So you always have to be careful about them. In terms of -- direct to your question, contracts turnover, come and go. It's the nature of the game. We've won some; we've lost some. The larger contracts that come up for renewal are typically very competitive. It's common industry that the economics are typically less favorable to the operator, particularly in the early years. And on the contract you referred to, specifically, (technical difficulty) deal we put on the table, the best deal for our shareholders. And our return criteria and our job to all you guys as shareholders, would not have been met, quite frankly, if we did any higher. It was a very, very competitive bidding process. Just a reminder, we've got an incredibly strong footprint across our major markets. William and his team -- William Eccleshare and his team have just done, and continue to do, a phenomenal job. Ttrong in UK, France, Italy and just in the sense, if you kind of look at the overall year, the biggest and probably affect our pacings coming to this year, quite frankly, has been China. I think I mentioned it in the remarks that the Chinese New Year, offices and our customers are closed over the holiday. So as they've started to reopen, I think you see that again when I mentioned the pacings were up slightly. Then, if you look at the steps we've taken in London, which quite frankly, I think is more important to take the right steps -- just as we did by the way, if you go back a number of years ago in France, we had lost a couple major contracts. We embarked on a slightly different strategy. We've had outstanding results in France. You saw that we've started take additional steps in London in January. I mentioned this on the call. We acquired the Arqiva phone box business in London. It's part of our ongoing investment in the state-of-the-art digital portfolio in the UK, including the nationwide expansion of the ad shell live digital six sheet, the ongoing investment in the storm portfolio of super-premium digital sites, and the extension of the rap network of digital billboards to 15 major UK towns and cities. So that's going to deliver hundreds and hundreds of world-class sites to advertisers. And by the way, it includes 1,800 phone boxes with 800 in London, so very, very strong locations nationwide. To me, that's what really important, that we have the discipline to do deals that are good for our shareholders in a competitive situation. And then for some reason if we don't get a deal that we're looking for because it's an economically the right deal, okay what's -- that's what you guys should look and what we look for. What's our alternative strategy to divide -- to drive results to the bottom line. That's what the Arqiva deal does. And that's historically what we've [indiscernible].
Avi Steiner: Terrific. I'm actually going to go the balance sheet side now. Kind of dovetailing on some earlier questions and liquidity you have and flexibility, how do you think about balancing the market -- the opportunities that the market dislocations have provided you versus the very large 2019 stack?
Brian Coleman: Well, I think we have opportunities across our capital structure and even in the Outdoor notes and our secured debt. There's lots of things that we can take a look at. We are not going to generate enough liquidity to pay off the 2019 maturity. So that needs to be a refinancing candidate or refinancing end and repayment candidate. I do think that at the end of the day, we've got to look at what is the biggest return to the Company, and balancing that with the need to not create a liquidity event where otherwise we didn't have one. Again, I do want to direct any kind of message to the market on what we're looking at, other than to say want to be thoughtful and we want to capture what is in the best interest of the Company and its stakeholders.
Avi Steiner: Fair enough. Couple more here, somewhat Outdoor related, from two different perspectives. One, maybe talk about how broader media may or may not fit into anything? I know you don't want to telegraph anything to the market. Two, are you done with non-strategic asset sales, or could there be more at Outdoor given our read of your potential abilities there?
Rich Bressler: Let me just start it and turn it over to Brian on the first one. But on the second one, Avi, a little bit what said earlier. Again, we're always looking to maximize value to our shareholders. Just again, back to the last deal we just did or you go back to when we sold the half interest in Australia that we had at iHeartMedia business. If you can do that deal at approximately 12 1/2 times for non-strategic assets, is something that is in the best interest of our shareholder, so clearly we're always looking to maximize the value and improve our balance sheet. And we'll continue to look to do that.
Brian Coleman: Yes, I'll broaden the question beyond broader media. But I think just to hit broader media, we'd say that the Company continues to evaluate opportunities to strengthen its balance sheet in compliance with its financing arrangements. So we want to use all the tools available to us. What all that ends up looking like, who knows. Nothing has been determined and we can't really provide that kind of guidance. But you should assume the Company will use the tools that are available to it to be opportunistic and to deliver the best transaction if there is a transaction to the Company stakeholders.
Avi Steiner: I appreciate that answer. I will end it one I think is an easy one. Could you just discuss why you drew a little more under the receivables-based facility? I was kind of modeling it a little bit differently. Is that related, perhaps, to Q1 seasonality? And then lastly, related to that, did capacity change under the receivables-based facility? And thank you for taking the questions.
Brian Coleman: You bet. Avi, somehow I knew you would ask that question. I think a couple of things about the ABL. The borrowing base changes periodically, so the availability of what we can draw changes periodically. We did have some cash at the end of year. Most of the distributions and increasing cash actually occurred after the end of the year. I mean what we borrow under the ABL facility, we typically do so under 30-day LIBOR contract. So there's a multitude of reasons why we could have borrowings or haven't repayed borrowings. Another thing to consider is how those borrowings are characterized. If we utilize borrowings under the ABL to fund CapEx, they may hit a different basket than another one. If we repay it, that characterization may be lost. So I wouldn't assume just because a dollar of cash is excess liquidity at the parent, we're going to paydown the ABL. I think the way to think about it is, they are both forces of liquidity, cash on our balance sheet and availability under our ABL. We get the question, and it's not a bad question. But you shouldn't look at it as just, wow, the Company had cash, why didn't they pay off the ABL? They can save LIBOR plus 200. Well, LIBOR plus 200 is pretty cheap capital in our capital structure. I want to mindful of everything, but there may be reasons to keep the ABL drawn or to utilize it. Those are reasons existed in the fourth quarter.
Operator: Thank you. Our next question is from Lance Vitanza with CRT Capital Group. Go ahead please.
Lance Vitanza: Thanks and great job on the radio side. I actually had a couple of questions on the Outdoor side, some of them have been answered. On the Americas' side, you didn't get the flow-through to EBITDA that I would've expected, at least from the incremental revenue. And I'm wondering if that was a structural issue or more just a function of the geography of products that by which the incremental revenues happened to have been generated in this particular quarter?
Rich Bressler: Yes, thanks, Lance. A couple of things, first of all, the real reason we didn't get the flow-troughs -- because when you look at the Americas -- just as a reminder we report the Americas combined with Latin America. You might remember that we now move that, and it's consolidated in the Americas. That's really the reasons that you didn't get the flow -- one of the reasons you didn't get the flow-through, because we did get flow-through on the U.S. business. Then the other thing is, as we've -- and you've seen the performance pick up. And again, I continue to be very, very happy -- Bob and I do -- with the Management team. And you've seen the improvement in national sales, and we've made some investments on the national sales line. You're seeing the benefit on the revenue line. I expect we'll continue to see that benefit going forward.
Lance Vitanza: Okay. Then on iHeart, looked like the total listener hours were up kind of a pace with your growth in registered users. I'm wondering if there are patterns you've been able to discern with respect to individual usage. In other words, at what point do a new user's listener hours tend to peak? Is there a ramp to sort of peak usage for the individual user, or does it start high and then falloff? Then I guess really what I'm trying to get at is, I would assume that it would be important for you to basically have each individual user listen more. And I'm wondering if that's the case, number one -- it's just a little hard to tell just from the growth numbers without knowing the trajectory. Then, are there specific things that you can do that would target growing the hours listened per user as opposed to just growing new users?
Rich Bressler: Well look, we don't discuss and quite frankly and forecast and even look at our business per se on individual basis. Just let me just make a couple of comments about -- and I think I didn't answer fully one of the early questions in terms of margins on the iHeart Business. Cume [ph] is up, registrations up, TLH is up. Look, we've talked about and we've talked about in the previous calls and we've talked about our broadcast listening is up close to double digits in terms of total listening on a year-over-year basis. That's broadcast. Digital's up significantly higher than that, roughly about10% on broadcast. We're up more, as I mentioned, on digital. The overall numbers on the power of sound are up significantly. I think streaming is up well over 50%, podcasts are up over 70%, concerts and festivals are up over 30%. Then, you just -- quite frankly there's -- and we've talked about what we focus on is what's important from an advertiser standpoint. Just as a reminder, I covered this a little bit in the call, there's three huge reach mediums in the United States. There's Facebook, Google and ourselves, and we're the biggest of the three at over 250 million people that listen. And again, you look at what's happened -- we are the last reach medium on the radio side. Just worth pointing that out again. I think I touched upon that in the script. We cannot overstate this. What's happened used to be through all the years we've all been in the business, television was the reach medium. Today we reach approximately 92%, 93% of millennials in the United States. If you go back to when I started in the business in the early 1970s, radio reached 92%, 93% of millennials, rock solid. Television is down to less than 75%. One in four people -- one in four millennials, I'm sorry, do not watch television. Then when you go from 15 to 24, one in two people do not watch television. So just by the numbers and the math it tells you that the number of millennials who are not going to watch television is going to continue to go down. But for us, it's about the under-monetization. We are continue -- even with the results we had 2015, all the progress we've made, the great results we had the fourth quarter, we continue to be significantly under-monetized irrespective of the ratings. I talked about all this great rating stuff, even if we had no increase in ratings, we -- as a reminder we have an average ROI of 6-to-1. So, for every dollar -- that's in Nielsen numbers, not ours, Nielsen number. For every dollar in advertiser spends they get $6.00 back. So what our focus is, is to really continue to improve our selling proposition. Because all 6-to-1 tells you is we've got a lot of opportunity out there, and that we're under-monetized. And obviously, you couple that with the ratings growth and it's the reason why we're as optimistic as we've ever been about the future of this business.
Lance Vitanza: Thanks for that. I just have one more, and that's back actually on the ABL. Brian, I've heard your answer the last question. But specifically, I guess for me, are you worried about losing access to the facility down the line? And did that play into why you decided to keep the balance outstanding as opposed to retaining it?
Brian Coleman: No, I think we're strategic in the sense of how we characterized the debt. And it's an expensive cost of capital, so we have the flexibility in how we view our liquidity position. We expect to comply with our debt facilities. And we expect the lenders under the credit facility to honor their obligation. That's not a consideration at this point. I would like to do a time check at this point. We've gone over an hour, but I realize the comments on the front end were long. It's a year-end and we had a lot of stuff wanted to say, so let's take another question or two, operator, if we can, and then we'll probably need to cut it off.
Operator: All right thank you then we'll go next to Marci Ryvicker with Wells Fargo, go ahead please.
Marci Ryvicker: I'll be quick. Clarification on the pace for Americas. Does that include or exclude the boards that were sold? So for example that 1.4% pace apples to apples with last year, or is it just an as-reported number?
Brian Coleman: I'll even be shorter on my answer. Yes, it excludes it, it is apples-to-apples.
Marci Ryvicker: Okay, and then -- but then last year -- so, relative to last year it's apples-to-apples, or does last year still those boards in?
Brian Coleman: Apples-to-apples.
Marci Ryvicker: Okay, and then last one. Are you seeing any slowdown in the ad environment across your portfolio? I think people are just worried about the overall macro and that this time around ad-sensitive media might be late cycle instead of early cycle, so just taking a gut check what you're seeing.
Rich Bressler: I gave out the pacing information, which is I think evidence of everything we're seeing. But clearly things are -- and we've been seeing this trend for some time. But clearly, based later cycle than we've seen before. You look at our businesses -- again, I won't go over everything -- do everything I just said in terms of on the radio side of the business. But again, we are such an effective medium. I pointed out all the things that are happening on the television side. You look at everything that's happening in our Company on the digital side. One of the things I didn't mention is even like our demographics. I don't think you know, our average age user is right on top of digital. We're about 44 years old. I think digital is around 42, 43 years old. By the way, TV and newspapers and everything is well over 50. So to some extent, yes, you have what's out there in the environment, but again we are so under-monetized, we're so cost-effective, we have all the trends going in the right direction. Our ability to target information at digital and then expand and extrapolated at scale because of our size and our reach and our position, which each of the demographics out there -- again with the advertising environment out there, we're so cost-effective, I continue to be optimistic about everything going forward. And on the Outdoor side, again, we had -- as you look at the new management team, particularly in the US, and as I've been very transparent of that in the past. Prior to this team we did not do a good job of executing, particularly on the national side. So I think we still have some ground to make up as you go forward.
Brian Coleman: Operator, one more question, please.
Operator: Thank you that will come from Aaron Watts with Deutsche Bank, go ahead please.
Aaron Watts: Thanks for squeezing me in, guys. Two questions for me. You're outperforming on the media side versus the industry. I think we have a decent sense of margins on the terrestrial kind of core station side. But curious about profitability on the events and the digital portion of your business. Are they making positive contributions to the bottom line? I know, Rich, you mentioned the CRB ruling. Will that help get the digital business to be more of a positive contributor in the future if it's not already?
Rich Bressler: Yes, so first let's go to, really to your first question. Everything, -- and again just consistent with who I've decided to vet. We look at it -- whether you're a consumer or an advertiser, what you are looking for is you are really looking to drive bottom-line results. You're looking to drive ROI. So all the lines have really -- have started -- I've talked about this in the past -- have blurred in the past. They continue to blur, whether national, local lines, advertises looking at digital broadcast, they look at everything as one. And they're really looking to get a return on their money. That's why I keep emphasizing the ROI, the under-monetization, and the 6-to-1 that we're getting. And just think about in terms of the events. We don't look at the events, at all, as separate profit centers. They have gigantic marketing opportunities for us. They're advertising-based events. If you look at the number of advertisers and the growth we've had in advertising on national and on local and the number people that first advertise with us around an event, so the effectiveness of the media, and then became advertisers the rest of the year, away from the event, that's really -- that's the reason to have these events. Again, you look at something like the 80's Festival that we were just at last weekend in LA, we're always going to look to have events where we can occupy something that doesn't exist before, where we can attract something that's good for our consumers and the demands there, and something that's good for advertises and a focal point to sell around and a chance to market our product around the event. On the CRB, our goal was always to help create -- and it has been and will always continue to be, a sustainable Internet radio industry that benefits -- it benefits the broadcasters. It benefits labels. It benefits the artists. It benefits the public. And one that can pay artists and music companies more money if they're our partners, not less, by accelerating the growth and the innovation in internet radio. We believe that the rates in CRB announced is going to make it possible for us to invest more and drive more to build volume, which again is going to benefit the artists, benefit the record labels, consumers in the entire music industry. We're going to continue to work closely with them to bring their music to the audiences on whatever platforms they want to use. That's why it's important for us to continue to invest and be a multi-platform Company. And one last thing I'll just end with. Back to an earlier question on margins, we are incredibly focused here on cost. We're incredibly focused on capital allocation. And capital allocation includes allocation of cost, not just things for accounting that are called capital expenditures. But as (technical difficulties) a Company. You don't need to take our word for it. In terms of our relentless growth to drive as much of every advertising dollar down to the bottom line. So I think you'll continue to see margin improvement in this Company as you have this year, as you did the year before, on an annual basis, and you'll continue to see that going forward. It's a top priority for Bob, myself and the rest of the management team. With that, I'd like to thank everybody for joining us today. Again, I apologize for running a little bit longer, but we did have a number of things to say in our remarks. I appreciate all of your patience and support. We just wanted to make sure we took the time to answer the bulk of your questions. So thank you very much.
Brian Coleman: Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and choosing AT&T Executive Teleconference. You may now disconnect.